Christoph Nanke: A warm welcome from my side. Thank you for joining Fraport's call today. I have with me at the table, our CFO, Dr. Matthias Zieschang, and I would say, do not wait, we start the presentation right now.
Matthias Zieschang: Yes. Thank you very much. Good afternoon, ladies and gentlemen, also from my side. Let me start my presentation today with a brief update on our latest traffic trends. The last time we spoke back in May, all of Europe was still in lockdown mode. The market reopening in the U.K. was planned, but it was unclear if and when this will really happen. The traffic light system was an idea, but no idea was provided, which states will be added to the so-called green list and how the treatment with EMEA countries and fully vaccinated travelers will finally look like. Today, we are more advanced. Germany provided clear visibility on travel rules and differentiates between high-risk countries and virus variance countries. In addition to 3 colors, the U.K. meanwhile, found a new color Lambda plus and fully vaccinated U.S. citizens are also good to travel to Europe, again, if the infection situation in EMEA countries allows for it. The result of those relief measures was a visible improvement from mid-May onwards. Today, we are back in a more reasonable traffic area. In July, we handled about 2.8 million passengers and most recently, about 100,000 to 110,000 passengers per day, or 45% of the pre-COVID numbers in Frankfurt. As much as we are encouraged by this trend, we also have to admit that the recovery is not as balanced as we wished it to be. Especially within the intercontinental market, we continue to be confronted with strict travel restrictions. While U.S. citizens can travel to Europe, European nonessential traffic into the U.S. is still prohibited. Other key markets like China, Japan, Singapore and Korea continue to be largely closed for us as well. As a result, the recovery mainly materializes on short-haul traffic here, especially on leisure routes. Hence, the number of short-haul European destinations has meanwhile outgrown pre-COVID levels. On the flip side, intercontinental routes are still clearly below 2019 numbers. While some reintroductions are planned for September and October, it is unnecessary to say that we also face lower frequencies than before, that services are often canceled and carried out with a clearly lower seat load factor than in 2019. Still, when compared to our situation 2.5 months ago, we are in a clearly better shape, as you will also see later in my presentation. Comparing to the situation in Frankfurt, we are seeing a clearly improving trend within our international portfolio as well, especially our short-haul driven investments in Greece and Antalya are seeing an accelerated traffic and financial momentum these days. Antalya, stand-alone, for example, welcomed about 3.9 million passengers in July, or the same amount of passengers Heathrow Airport welcomed over the whole course of H1 2021. Greece is also showing a very strong recovery. The past week, which also saw many U.K. travelers, was back at 76% of international traffic and 81% of domestic traffic. Bulgaria as a secondary touristic destination in Europe, meanwhile, has put U.K. on the red list and is, therefore, lacking the Turkish and Greek recovery behind. Despite continued strong travel restrictions for international traffic in our LatAm investments, Lima and Brazil show also a more reshape attitude when compared to Frankfurt, mirroring the general trend in the Americas. The best traffic recovery we continue to record within our Chinese and Russian investments. Here, the domestic traffic is already matching the 2019 numbers or is even higher. International traffic in those investments remained below the levels of 2019 as well. All in all, we continue to see whenever the markets are reopened and the possibilities to fly are restored and given the recovery is visible and traffic levels return quickly to the 2019 numbers. Looking back at the picture in the last 6 months. I'm now on Slide #5. As described before, all investments continue to be below the levels of 2019. The closest to 2019, we are getting in China and Russia, where our Q2 passenger numbers reached 90% to 95% of the 2019 record levels. Frankfurt traffic was still clearly down compared to 2019, but also down compared to H1 2020. Here, the first quarter traffic in 2020 was still very much unimpacted by COVID-19, running at about 11 million passengers. As a result of the travel restrictions imposed in Q2 last year and the gradual market reopening in Q2 this year, the second quarter results 2021 clearly outperformed the 2020 numbers. This effect also becomes visible with our Q2 financials later on. When comparing with H1 2020, the comparable basis is still very adverse. In comparing with Q2 2020, the traffic performance this year was better, while it remained clearly below 2019. Before moving on to the financial performance in the past months, allow me some business updates on the Chart 6 and 7 first. The Chart 6 shows you our progress on Frankfurt restructuring. While we already discussed good progress here during our Q1 earnings call, we can present you a very positive update today. End of Q2, we are more than 4,000 employees leaner company in Frankfurt. We, therefore, did not just reach our target well ahead of time, but we also exceeded this target. And today, you can see on the chart 4,276 employees less. And today, we stand at about 4,400, so we continue to reduce our workforce. So the next step, we also discussed this with our Q1 results. We will continue to reduce our administrative workforce further. Here, there won't be a new program, but natural fluctuation and employee retirements will bring us to the next level here. Those savings in administration will also be structural as we won't rehire administrative foreseeable. So even if you need to rehire some staff within some parts of the ground handling operations, we will remain more than 4,000 employees, leaner company in Frankfurt mid- to long-term, this means on a sustainable basis. Turning to Slide #7. Here, you see the progress we recorded during the past quarter regarding major COVID-19 compensations. In Germany, we meanwhile received the compensation notice for the operational losses incurred during the first lockdown period last year. As expected, the total amount is exactly €160 million and is equally split in between payments by the local state of Hesse on one side and the federal state of Germany on the other side. While the cash inflow will be recorded during the third quarter, IFRS requires that we book the P&L effect already with our Q2 results. Prior to that, also the Greek State approved COVID-19 compensation measures to Fraport Greece, the total amount of up to €178 million. Worth noting here, while the German compensation will be a nonrefundable cash inflow to us, the Greek compensation will take place via no payment of concession charges from Fraport Greece to the Greek State in the future. So we are not discussing a cash inflow here, but the relief will take place via saving on cash outflows. In the first step, the fixed concession charges payable last year, this year and next year are canceled. Secondly, this year's variable concession charge for EBITDA is canceled as well. In case Fraport Greece will fall short of pre-COVID traffic levels this year and this will be effect. We will also not pay the variable concession charge next year and the fixed concession charge payable in 2023 will also be canceled. As currently 3 years of fixed concession obligations are removed, we recorded an extraordinary effect of about €70 million with our Q2 results. Please note here that we already anticipated this effect with our full year guidance as the compensation is backed by the concession contracts. For the German compensation, there is no underlying contracts. So a goodwill from the government so that the €160 million will be added to our full year guidance. How did those effects feed into our financial performance in the past 6 months? I'm now on Slide #8. You can see that we added a total of about €300 million nontraffic-linked effects to our group total revenues. The overview of all effects can be found in the appendix of this presentation. Eyeing on the underlying performance, you see that group total revenues, excluding for IFRIC 12, dropped by about €120 million or 15%, mirroring the traffic reduction compared to H1 2020. While our international activities only saw minor revenue declines, the biggest revenue drop we recorded across our 3 Frankfurt segments. On the flip side, our cost-saving measures in Frankfurt, but also in international activities were more than sufficient to offset for the revenue reduction. Some €132 million cost savings compared to H1 2020 meant that EBITDA improved year-over-year on an underlying basis by some €10 million despite the strong traffic reductions in H1 compared to the previous year. Let me emphasize here that we are very pleased by this performance. Adding the nontraffic linked effects of some €300 million represented a strong H1 EBITDA of about €335 million. Lower G&A and a slightly improved financial result led to a group result after minorities of some €15 million, a positive result, which is clearly beyond our expectations at the start of the year. The performance of the second quarter stand-alone can be found on Chart #9. While revenue increased due to the traffic recovery by a strong 82% on an underlying basis, a few things are worth to mention here. Frankfurt cost savings remained broadly unchanged compared to the strict lockdown situation in Q2 2020. Therefore, we were able to keep our cost savings on a very high level despite some 4 million passengers handled and the reopening of Terminal 2 and the Landing Runway Northwest in June this year. We even managed to record a positive underlying Frankfurt EBITDA in the area of €31 million despite handling only 4 million passengers, respectively, only 45,000 passengers per day. So we clearly exceeded our guidance that we need about 4.5 million passengers per month, respectively, 50,000 passengers per day -- sorry, 4.5 million per quarter, respectively, 50,000 passengers per day to be EBITDA breakeven in Frankfurt, a very good achievement of our Frankfurt team. In international activities, our majority owned airports in Lima, Greece, Brazil, Bulgaria, Ljubljana, were largely closed in Q2 2020. The operational restart this year led to a slightly rising Q2 cost internationally. Still, we managed to achieve a clearly positive EBITDA also in international activities. As a result, the underlying EBITDA was positive at €62 million, so was the operational cash flow, as I will show you on my next chart. On Chart #10, you see our group cash flow and indebtedness situation. As you can remember from our Q1 results, our group cash flow and indebtedness situation this year is adversely impacted by severance payments for Frankfurt staff. Here, we, meanwhile, cashed out more than €200 million for people to leave the company, negatively impacting our operating cash flow. So in total, €220 million cash out for severance payments in this year. Adjusted for this effect, our H1 operating cash flow was mildly positive in the low double-digit million euro area. Moreover, when bearing the negative Q1 operating cash flow of minus €240 million in mind, our Q2 cash flow turned positive to about €20 million. Please note here that the Q2 cash flow statement does not factor in the €160 million compensation payments in Germany, which we expect to fully record in the current quarter and also the proceeds we will see in Q3. As a result of the before mentioned effects, the operating cash flow situation is clearly more encouraging than the reported figures suggest. The underlying cash flow, excluding for severance payments, was positive, and we even will record an additional €160 million this year. The CapEx side, however, continues to be burdened by our Terminal 3 expansion project in Frankfurt. While Fraport Greece and Brazil, the CapEx programs, meanwhile stopped, Lima Airport has grown into this gap, so to say. As a result, the total CapEx bill remained broadly unchanged to the previous year, leading to a negative free cash flow of about €750 million. As mentioned before, you should not extrapolate this figure on a full year basis as Q3 will clearly improve, thanks to the summer traffic season and the compensation payments and lower CapEx numbers. In total, we, therefore, describe our indebtedness situation as expected at the end of the second quarter, and this means we expect a net debt of about €6.5 billion as guided for the end of the year. Our group liquidity and available cash reserves at the end of Q2 are shown on Chart 11. Despite the clearly negative free cash flow of €755 million, our group liquidity moved up by more than €1.3 billion when compared to the year-end 2020. Besides the negative free cash flow, this amount also includes repayments that we made during H1 this year. The additional finance we assumed in the past 6 months of €2.4 billion was secured at an average rate of about 1.3% and an average tenor of more than 5 years. The additional finance also meant that our all-in cash reserves are firepower moved up to more than €4.4 billion by end of Q2. Assuming our conservative business planning, the high cash reserves will clearly bridge us into the fiscal year 2024. Let me now move on to our segment performance in the first 6 months, starting with Aviation on Slide #12. As with our previous call, we provide you, for all segments, a comparison with 2020, but also with the pre-COVID levels in 2019. In revenues, we added this year the impact from the securities settlement in the amount of some €58 million in Q1. Adjusted for this effect, revenues in the period under review stood at €197 million, so 22% below the previous year level. Despite this revenue shortfall, we were able to achieve a flat underlying EBITDA compared to H1 2020 in the area of minus €77 million, thanks to our strict cost management. Here, we managed to save about €53 million compared to H1 2020 or even €96 million when compared to H1 in 2019. Taking the security settlement and the €160 million state compensation into consideration, meant an even stronger financial performance of the segment when compared to 2019 at €140 million reported and EBITDA exceeded the precrisis level by some €18 million. Looking ahead, you also see it on the chart, we have, meanwhile, also handed in our application for the aviation charges in the upcoming year. Here, due to the strong underperformance situation this year and which we continue to expect for the next year, we applied to raise the charges by on average 4.3% as promised. We expect the regulator here to approve the application over the course of the fourth quarter this year. Moving on to our retail and real estate segment on Slide 13. Looking at the individual revenue streams, we are very pleased to see that our real estate subdivision is back on the precrisis level. The result is even stronger, bearing in mind that Terminal 2 was closed for 5 out of 6 months this year. In contrast, retail revenues continue to be heavily impacted by the low passenger volumes. At €25 million, the shortfall stood at 76% when compared to H1 2019. Despite this clear reduction, the retail subdivision still performed better than the pure passenger development in Frankfurt, which was down by 81% against 2019. With the help of more stable revenue streams such as advertising, but also due to an increased spending behavior of the remaining passengers, our retail per passenger key performance indicator grew remarkably by 40% to €4.55. This, again, represents an all-time high also on a very low passenger level. The Parking revenues also performed more resilient due to corporate parking as well as car rental companies. At €139 million, segment revenues, all in all, declined by 12% and compared to H1 2020 of 42% when compared to 2019. Thanks to the more stable revenue performance and a good cost reduction of 35%, we were able to realize a clearly positive EBITDA of €117 million, just 6% short of 2020 despite the 47% drop in passengers. The financial performance of our final Frankfurt segment ground handling is shown on Slide #14. As with the other 2 segments, revenues in ground handling were more resilient than the pure passenger development in Frankfurt. At €152 million, the segment revenues were down by only 16% compared to H1 2020 or 56% compared to 2019, but remember, we had 81% less passengers. Key drivers for the better revenue performance were, again, charges which are not directly linked to passenger numbers such as maximum take-off weight and movement related charges. Still, in absolute numbers, we lost revenues of about €30 million against 2020. Remarkable, however, was the cost performance as we were able to save more than €40 million compared to H1 2020. Thus, EBITDA improved against 2020 despite the passenger shortfall. At minus €50 million, however, it is needless to say that we can't be satisfied with the overall result of this segment. On Slide 15, you see the summary of our Frankfurt results during the past period. When compared to our operational expenses in past years, we are clearly seeing our restructuring progress. In total, we achieved cost savings in the amount of more than €230 million or about 30% per month. This cost reduction was mainly driven by staff cost savings. Very important here is that we even exceeded our own target on behalf of the Frankfurt breakeven point. During the second quarter, we recorded about €31 million positive EBITDA in Frankfurt excluding for the €160 million state compensation. As this figure still includes some €30 million profit from the German short-time working instrument, we can tell you today that we are able to run Frankfurt Airport breakeven at about 4 million passengers, respectively 45,000 passengers per day or 22% to 23% of the 2019 passenger levels. So I think this is a very good result. On Slide 16, you see the financial performance of our major international holdings. The very positive message here is that despite the continued strong impact of the pandemic, all investments were either clearly EBITDA positive or at least flat. Together, all holdings contributed some €170 million to the group EBITDA in H1. Those results, again, prove the strong measures we are taking to minimize the financial impacts of the crisis across all our group airports. The international activities segment as a whole is shown on Slide 17, so including for the Frankfurt services. You see that the revenues dropped by more than 50% against 2019 and more moderately by 12% against 2020. On the other side, we significantly reduced the underlying OpEx. Like this, we saved around €30 million when compared to H1 2020, or about 47% against 2019. As a result of the cost countermeasures, the underlying EBITDA of €43 million was some €11 million higher when compared to 2020 despite the lower revenue. Including for the compensation measures in Frankfurt -- in Fraport Greece and the cancellation of minimum lease obligations, the H1 EBITDA was clearly positive at €128 million. Having said this, ladies and gentlemen, I would like to conclude my presentation with our outlook chart on Slide #18. We have, meanwhile, updated the outlook to include for the €160 million compensation payments in from Germany. As a consequence, we upgraded our EBITDA target to a level of €460 million to €610 million. Simultaneously, we raised our EBIT outlook to positive from slightly negative before. In case of achieving the upper end, and this is most likely of the new EBITDA guidance, and the continued positive trend in Antalya, we even expect to be able to achieve a positive group result this year. And this would be a nice result. As we, however, continue to face low traffic visibility for the remainder of the year, we will guide more precisely with our Q3 results post the summer season.  With this, I would like to thank you for your attention, and I'm looking forward now to your questions.
Operator: [Operator Instructions] The first question is from the line of Cristian Nedelcu with UBS.
Cristian Nedelcu: Three questions, if I may. The first 1, In your first half report, you're flagging prices of building materials rising globally. So do you see any risk to your CapEx estimates for the next couple of years in Frankfurt and Lima. Secondly, you have this €160 million cash in compensation in Germany. You're avoiding some cash out in Greece this year. Why isn't this translating into a change in the net debt guidance for FY '21? And the last one, you've mentioned the 4% -- 4.3% tariff increase. Could you remind us what is the latest thinking in terms of offering tariff incentives for airlines into next year and how should we think about that?
Matthias Zieschang: Yes. Thank you for your questions. First topic, price risks in construction projects. We have 2 big CapEx programs, 1 here for Terminal 3, 1 in Lima. I think the good answer is that when we made our budget, for example, for T3, this was already done on a very high level, and most of the contracts are in the middle are closed so that we do not expect a negative impact from the current situation in the construction market. And we also see this as a temporary phenomenon. But again, we don't see any -- or we don't expect any negative impact here for our Frankfurt CapEx program. And in Lima, we are -- with regarding to the runway or the runway construction, which is in the middle of, let me say, of the project. So to say, we have already signed the EPC contract with a clear cost cap. So even if prices for some parts, construction parts would go up, this will not impact us. With regards to the today not closed and not signed EPC contract for the terminal, we so far, have solved the problem that for some key materials like steel, et cetera. We have put in, so to say, a variable indices so that this is, in principle, an EPC contract. But later on, in 2 years, we are looking -- and we have fixed the volumes. And in 2 years, and we look what will be the final price is for steel, for example, and this can have an impact to the positive and to the negative side. But this -- even if there would be some negative impact, this is fully covered by contingencies, which are part of our official budget. So that to make the long story short, we do not expect any negative impact from rising prices in the construction area for our 2 CapEx programs. Second question, net debt guidance. We -- at the beginning of the year, we said -- first off, we fixed 2 things. The EBITDA contribution on one side and the CapEx on the other side, which, at the end of the day, will lead to the negative free cash flow, and this drives the increase of indebtedness. And in our last Q1 presentation, we said we expect an increase in the net debt by minimum €1 billion. This was Chart #26 from the Q1 presentation. And when we now look back on what has changed to our guidance, we stick to the EBITDA contribution -- to the EBITDA guidance, except the additional income proceeds of €160 million. And on the other side, CapEx is -- will be as expected in our guidance. So we will end up with a very nice EBITDA contribution, which helps us on the operational cash flow side, and therefore, that's what I put into my presentation. We are saying that we will end up with an increased indebtedness of €1 billion, while, in Q1, we said minimum €1 billion. So this shows the -- let me say, the improvement of the net debt guidance driven by the not planned and not included in our -- not included €160 million payment from the German government. So it's so to say, there is a positive impact in our net debt guidance of €6.5 billion for this year. And this is equivalent to the €160 million payment from the German government, which will come in Q3. Third topic or third question, tariff increase. Now we are -- we feel fine with the 4.3%. This is not a surprise. We always said in the last couple of -- not just months in the last couple of quarters that as a reaction of these terrible COVID impact, we have to do something in a moderate way on the fee side. And we said it will be single digit -- middle single-digit percentage increase, and now we delivered what we promised. And this is, for a period of 1 year, we generally, we are also -- we have been open, and we are still open for long-term contracts. But I think, in the moment, nobody has a clear transparency what will happen in the next 2, 3, 4 years, so that we -- the probability that after this year, now we are talking about 2022 onward, the probability for a long-term fee agreement is relatively low. I do not expect this. So we are -- so I think we will continue with a year-on-year basis, which has been so far good for the airlines as well as for us. Because if you don't know what will happen in 2, 3 years, it's good to have flexibility on both sides. But this will not change our clear strategy that for the next couple of years, we are going to increase the fees again, and this is level 4, 5, maximum 6% on a year-by-year basis. And room for incentives, I do not see because we had incentives before corona when we had a high level, a high number of passengers at Frankfurt Airport, and we tried to attract even more despite an exhausted capacity situation, but now we have to show a recovery. And we are also convinced that incentives are not the right instrument because everybody, let me say, is blocked by travel restrictions and not by prices. We can see everywhere that the price elasticity is not very high. The demand is given. And let me say, the stumbling block on the road are not fees or prices. The stumbling block are still existing travel restrictions. And now we have a proven track record. Whenever travel restrictions are lifted, people are going to travel. And let me say this is a key, the markets have to reopen and then the traffic will come back. So far, the answers regarding your questions.
Operator: The next question is from the line of Andrew Lobbenberg with HCBS.
Andrew Lobbenberg: Can I stay on the tariffs, please? And just asking for some explanation of why you're so confident that it will be approved by the regulators. I can only imagine the reaction of Carsten, but you seem very confident. So where is that confidence coming from? Can I ask, in the context of Greece, we've got the sort of €160 million or whatever it is benefit that you're seeing from the Greek government, but you're only booking a certain amount this year? Can you just explain what will get booked when in terms of the P&L? And then can I just ask for an update on Lima and the new government there, and how things are going in that regard?
Matthias Zieschang: Yes, Mr. Lobbenberg. First was...
Christoph Nanke: Tariffs.
Matthias Zieschang: Yes, of course, we are going through this regular process, and we had the meeting behind us where we have to present our intended fee increase to the airlines. Let me say, as expected, of course, there always is normal complaints. But I think the mood was relatively good. And what we also intensively show to the airlines what have been our progress on the cost side. And I think all of these guys said that they fully can -- I wouldn't say they applauded but they appreciated what we did because now we have a proven track record on the cost side. And I think this was really a benchmark in the market. And in combination with this, we always said we are working on our cost side. And we did and we are doing a lot of things, but this is not enough for EBITDA recovery and the net income recovery. And we have, let me say, a higher indebtedness compared to this, what we planned before, and therefore, it's just -- it's a fair treatment if we also come in these difficult times with moderate fee increases. And I think this was accepted from the airlines. It was a fair discussion, of course, different interest. But I think it was -- the mood was fair, and that's the reason why we are confident that there will be no trouble now with the future process regarding this fee increase. Second topic, Greece, this is, I have to confess, a little bit complicated. First of all, we now -- based on the concession agreements, we have a clear right to be compensated for the -- let me say, the difference of our original business case for Greece on one side and then the negative deviation from the business case driven by corona, which you can calculate because the government has our form, our own business case measured in EBITDA numbers. And as I said also now what we booked in last year and the difference is equivalent to the compensation. And this is based on paragraphs in the concession agreement. So this is the way how to define the €178 million. Now the compensation mechanism is as follows. We had to pay fixed concession payments of €23 million per annum for the year 2019, for the year 2020, for the year 2021 and '24. So we are talking about 4 installments, €23 million, and we are not going to pay any euro. So this is the first topic. So in total, if I make the calculation, we are talking about €92 million. We save by these from 6 concession payments. Then there is a gap of €86 million, remaining €86 million. And how is the mechanism to be compensated. And here, the way is as follows. Normally, we have to pay for our traffic-driven, let me say, EBITDA. This year, a variable EBITDA-linked concession payment of 28% of the EBITDA. So now, year-by-year, it's 28% of EBITDA. And now it's agreed that for the EBITDA-driven concession payment is released for this year and then also for the next year. And then we have to see whether -- if it is too high, then it is the lower amount. If it is too low, and there will be a further compensation for this final discrepancy of perhaps €5 million, €10 million. So -- but based on our planning, it must be an exact compensation, but the final treatment of some millions will be handled then in the next year. So your question was how will it -- or how has it B2B booked? So based on IFRS, we have now -- in H1, we have booked an extraordinary income of 3x €23 million. So for '19, '20, '21, the fixed concession payment. So this is a one-off in H1, and there will be a further number. This is the fourth installment, so the remaining €23 million booked in December this year. So in our second half, there will come another extraordinary impact of €23 million. Then we have, in total, as mentioned, this €92 million. And the rest, you will not see as a positive element. It's not just -- normally, we have to pay these variable concessions, which would be part of our material expenses. And this you will not see. And this is the treatment in the P&L. And third question, I hope that this is explaining a little bit your question. And a third topic is Lima and the political situation. We have now the new President, Pedro Castillo, coming from left-wing party. We -- I have to go a little bit back into the history of our investment in Lima. We are in Lima since 20 years. And in these 20 years, we have seen a lot of presidents. And it's not a joke saying that, first of all, all the former presidents are either dead or in prison, but this is a little bit the history of Peru. This is one statement. The second is, we are wondering why I mentioned this. If you look back, we have seen presidents from the left side -- more from the left side, but we have also seen precedents from the right wing. But the phenomenon was always after becoming president, being elected, that all of these guys, whether these are left wing or right wing guys, they later on in their -- when they have been in charge, they moved to the middle with their political program. And here, we have the expectation as in the last 20 years that this will also happen with the new president. You have always in South America to differentiate between this what they are saying during their campaign and their election campaign, and this is what they really do after becoming elected. So we are looking forward that he will move to the middle. But regardless of this, we have excellent contract. We showed a good performance regarding our airport. The Peruvians are very proud to have these airports because it's -- I don't know how often elected as the best airport in South America. So everybody is aware and proud of the performance. That's the reason why we do not expect some negative impact now from this election in Lima, Peru. So far, the 3 answers.
Operator: The next question is from the line of Christian Cohrs from Warburg Research.
Christian Cohrs: Three actually. First now with having Terminal 2 back in operations. Does this have any implications on the OpEx side. And if so, could you please quantify also going forward? Secondly, the European Commission, I think, is considering a new slot ruling and airlines are opposing it. So what is your view on this issue? And how this could impact your airport operations? And lastly, ground handling. You said EBITDA is still negative. If I'm not mistaken, you have some more plans in the pipeline regarding your ground handling operations. So did you progress on this already? And can you maybe shed some further light where do you stand and also regarding your expectations?
Matthias Zieschang: Yes, Mr. Cohrs, thank you for your questions. Implications on the OpEx side regarding recovery. We have to differentiate between our 3 segments in Frankfurt as well on our activities outside Frankfurt. So let's start in Frankfurt. In retail, regardless whether we have 20 million, 50 million or 70 million passengers, so we have reduced or we have this impact of minus 30% in the staff, and there will be no recovery on the staff side in retail and real estate. In aviation, you will see the same. All what we did is sustainable. So we reduced by 30%, or we are going to reduce. And this will be then flat also when the passenger numbers will go up again. So we just have some -- or we will see some increase again in ground handling, where, on one side, we also did a significant reduction. It's clear when, later on, we are strongly recovering on the passenger side that, in some parts, we have to reengage employees, but this is a limited number, first of all. And second, what we did is we accelerated the structural improvement of our staff in ground handling. You know that we -- that about 50% of the employees had old contracts on the AG level, while the other 50%, the younger ones, had new contracts with an average 30% lower wages and the -- our program with the severance payments focused primarily on these older employees with the old contracts. So that even if here the number of employees is going up again, we have a structural advantage because these rehired workers have 30% lower wages than these guys, which are -- which left the company in ground handling. Nevertheless, at the end of the day, what I also said during my presentation, we will see some personnel increase next year in ground handling, but the overall number of more than 4,000 FTE in our company line is stable and robust because we continue on the admin side. And in my presentation, I said, as of today, or in the presentation, you see the number of 4,267. Today, we are at 4,400. So you can really say, months by months, the number goes up. And even there is some compensation on the ground handling side, not now, but next year, you will see a company, which, at the end of the day, runs even 70 million passengers again, with more than 4,000 employees less compared to 2019. Your second question, the EU. The new slot regulation is 50-50, 50%. This means they have to use minimum 50% of slot, otherwise, they are going to lose it. Of course, you could read in the newspapers that the full service carriers complained. The low-cost carriers appreciated this. It's no secret that we find this a fair treatment because we -- let me say, to recover, to ramp up with the passenger numbers, it's very important for airports, let me say, new entrants of these airlines who try or have the intention to grow rapidly that they also have the chance to do it. And I think this 50% slot utilization topic now coming from the EU is a fair deal for all of us. And so we appreciate this. And again, ground handling, I think, I told you something about recovery or not recovery of staff. We are, so far, confident that when the traffic will come back, the EBITDA numbers will improve significantly. Why? Because, first of all, we have a -- we realized this personnel reduction will have this structural impact. So this is good. On the negative side, in the moment, we are, and so far, little bit suffering as a compensation of these good elements by relatively high peaks. So peak means not higher than before, but in some hours, we have a lot of traffic. While, during other hours, the traffic is very low, which was not the fact in the past and as an airport operator, you can't act like, let me say, the McDonald's principle where you let people work 2 hours and then you send them home for another 2 hours and then you call them back is not possible. And that's the reason why we are, so far, a little bit suffering from these extremely peak situation now, but this will improve significantly next year when, as expected, passenger numbers will go up to about 40 million. And then we have not any longer these huge difference between the tails and the peaks during the day. This has then this collateral positive impact on ground handling that the productivity will go up significantly, and we see a further significantly positive improvement. Also when we look now just in the month of June, so I have in front of me the segment result of ground handling just June where the traffic was better than in May or April, we showed an EBITDA of just minus €2 million in June. And in average, we have been less than 50,000 passengers in this month. And this shows that in the special month in July will become even a better month because passenger numbers are clearly higher than in June, that we are close to EBITDA breakeven in ground handling and with a little, yes, tailwind now in Q3, I think there is a chance that the EBITDA could even be positive or breakeven for ground handling in Q3 despite low passenger numbers always compared to the pre-corona levels. So far my answers.
Operator: The next question is from the line of Dario Maglione from Exane Paribas.
Dario Maglione: Two questions for me. One on the dividend policy. How will the dividend policy evolve in the next 2 to 3 years? Second question, how much do you think business traffic in Frankfurt is structurally impaired by technology substitution. So how should we think about this over the long term?
Matthias Zieschang: First question, dividend policy when can you or when do you expect positive or dividends. Again, clear answer, this is linked to our indebtedness. So we are higher than planned before corona, of course. And now we have a strong focus on controlling the net debt of the group. And as long as the indebtedness goes up, we are not going to pay any dividend because we have to take all our proceeds to control the net debt and to turn it into the positive direction so that we are able to reduce the indebtedness of the group. And we clearly said that free -- positive free cash flow is expected latest in 2024. And not before, we are not going to pay any dividends. And then we have really to see what is a final net debt-to-EBITDA ratio? What is the absolute level of the indebtedness? And then we have to assess whether there is room for dividends or not, but not the next '21, '22, '23, definitely, there is no room for any dividends. So traffic and traffic substitution by technology. So let me say, we have always differentiate the 2 groups of passengers, the leisure traffic on one side and the business traffic on the other side. We -- just in these days, we see, for example, looking to Greece and looking to Turkey, despite the fact that the corona numbers are going up. Nevertheless, there are no really travel restrictions. And you see a strong demand and increase of numbers. And in the presentation, when you look on charts number, what is it, 4.
Christoph Nanke: Yes.
Matthias Zieschang: You see the latest trend when you look on this chart regarding Antalya in calendar week 30, we -- on the domestic side, we are back on the old numbers. And on the international side, we are just 27% below pre-corona. And remember, we have corona numbers -- high corona numbers everywhere in Turkey. I think this shows how strong the demand is coming from the tourism side so that we are absolutely convinced there will be no substitution. We will see this is what we always said that, in 2023, regarding all our leisure airports, we expect a full recovery compared to 2019 passenger numbers. And also when you look now on Greece, it's also calendar week 30, you can see on the domestic side, it's just minus 19% compared to 2019, on the international side, minus 24%, and this is really a very positive recovery. So to make the long story short, leisure traffic will come back when corona numbers are a little bit lower and primarily when travel restrictions are lifted. So a very positive, let me say, expectation from our side. On the other side, of course, we have business traffic, which is not relevant for all our international asset, but it, of course, is relevant for Frankfurt Airport. Here, just starting with the facts and figures, in 2019, we had about 30% business traffic. This is equivalent to about 20 million passengers from 70 million. In the moment, we have a very low number of business traffic, so the recovery is primarily generated from tourism and leisure. And so if we look on these 2 groups, we also, for Frankfurt, expect a full recovery on the leisure side for 2023, like in -- because the inbound increases the outbound of Frankfurt, so to say. But on the business side, here, we see not a full recovery, and we see even a slower recovery. Don't ask me whether, at the end of the day, it will be minus 10% or minus 30%. I don't know -- or even minus 40%, nobody knows. But if you take minus 10% sustainable gap, then we are talking about €2 million. If you talk about 30%, which is a relatively conservative -- or would be a conservative assumption, then we talk about €6 million sustainable loss. I think whether it's 10 -- minus 10% or minus 30%, this will -- after '23 will be compensated by the comeback of the normal growth rates on the leisure side. This fits to our conservative overall expectation that Frankfurt will be back on a 70 million level -- passenger level in '25, '26. On one side, a relatively fast recovery on the leisure side, 2023 and slower and not full recovery on the business side. And don't ask me whether it's minus 10% or minus 30%. We are more conservative. The airlines are a little bit more positive. Perhaps the truth will be in the middle but we are always open for positive surprises.
Operator: The next question is from the line of Johannes Braun from Stifel.
Johannes Braun: I have 3 questions. Firstly, you mentioned that operating cash flow was positive in Q2. And given that, in Q3, you will have lower cash headwinds with the restructuring costs lower, also CapEx being lower, EBITDA, actually being better on the better traffic performance. So what's the outlook for operating and also free cash flow for Q3, please? Then secondly, on the fee increase. Can you share more details about how it is structured? Because I think you mentioned that it is an average increase of 4.3%. So it seems that it's not 4.3% for every traffic segment. So some more details on the structure would be appreciated. And then lastly, on the job cuts. You said 4,000 sustainable. What does that mean for the OpEx savings, which you have quantified to be €500 million for this year? How much of that will be sustainable?
Matthias Zieschang: Yes. First question, Mr. Braun, free cash flow, you asked for Q3. I would reinterpret this for the second half because it's easier for me. So we -- let me say -- let's assume, and this is very likely that the group EBITDA in H2 will be about €300 million. So this is more or less equivalent to cash inflow. We have no extraordinary negative or positive things in H2, or today, we don't see it. So we have EBITDA-driven cash inflow of €300 million. We have also, on top of this, the €160 million proceeds from the compensation of the German state. So in total, we are talking about roughly €460 million cash inflow from this side. So on the other side, we have 2 elements, which run against us. This is the CapEx program. Here, you see -- we have to see what is the outflow. It can be €500 million, can be €550 million. So let me say, we'll be in this range for the second half for the whole group. So this goes against this €460 million. And then we have the last item. These are the cash net interest payments. So the interest earnings, interest received and interest expenses, which is a cash out. Here, we expect about -- as a net interest outflow about minus €140 million plus/minus. So if you now make the calculation, €300 million plus €160 million minus €500 million, €550 million, for CapEx minus €140 million, you see, let me say, the net debt increase in H2. And that's the reason why I say we have now €6.350 billion about while we expect to increase, have a further increase to about €6.5 billion. So this is the calculation behind. So regarding the fees, it's -- we have a fee difference. First of all, it's very complicated because we -- there is no one fee. There's fee for the number of passengers, for the maximum takeoff weights, for the noise, for a lot of elements. So I think we have about 100 variables to come to 1 price for 1 aircraft. But the most relevant items are, as I mentioned, maximum takeoff weight, noise, number of passengers and -- yes, these are the elements -- yes, whether it's domestic flight, a continental flight and an intercontinental side. There's a huge price differentiation between these 3 elements. And normally, you can say it's more or less a balanced increase of 4.3% to all these variables, but we have some slightly differences in a way that the increase -- I forgot the fourth item. So I said domestic, continental and Intercontinental plus transfer traffic. So these are the 4 groups. And for all the groups, you have different prices. The lowest price is in transfer, then the second lowest is in domestic, then cont and then intercont. And here, we have, let me say, an increase that the transfer prices -- the increase in the transfer prices was the lowest one, for intercont it was the highest one. So a slightly differentiation, but all -- regarding all items, price increases and an average -- a weighted average of 4.3%, but less on the transfer side and more on the intercon side, because the price elasticity on the intercon side is the lowest one. Yes. job cuts. Our -- let me say, when we started our restructuring program, we had not the target to exactly reduce 4,000 or 4,400 full-time equivalents. Our target was the euro target. And we always said we want to have a personal cost level, which is €250 million less than the 2019 number. This was our original target. And then we translated these money target into a headcount target, but this was just a result. And your question is what is the sustainable impact? We can say it's clearly minimum €250 million, less personnel expenses per annum compared to the realized 2019 numbers here for the Frankfurt side.
Johannes Braun: Can I just ask a follow-up on the fee question. We -- obviously, we discussed a lot about the reaction of Lufthansa on that fee increase. But we have not discussed yet so far as the reaction of the likes of Ryanair. Can you share some light on that?
Matthias Zieschang: Let me say, start -- Ryanair is on the site. There's no special treatment for Ryanair. So it's as all is equal treatment. And we didn't get any -- I didn't receive any complaint from Ryanair. And -- but also, let me say, my today's information is that Lufthansa will accept these fee increases. This is my today's information status.
Operator: The next question is from the line of José Arroyas from Santander.
José Arroyas: Just a couple of questions. Again, on the tariff, on the planned tariff increase at Frankfurt. The justification for the tariff increases is that according to your statements earlier, Frankfurt will continue to underperform its allowed return. Before COVID that return was 6.5%, which if you multiply that by the RAB, you would come up with an allowed EBIT of €250 million. But since the COVID started, Frankfurt has secured structural cost savings in the region of €300 million. With that in mind, what is the level of allowed return you are aiming for? And what is the gap to the allowed EBIT that you believe the company would not attain if the tariffs were not raised? Thank you.
Matthias Zieschang: Yes. The regulation, as you mentioned, is as follows. We -- on one side, we have our regulated asset base, times, the official WACC. And these 2 values multiplied gives the maximum allowed EBIT number for the relevant fiscal year. The actual WACC is?
Christoph Nanke: 7.3x.
Matthias Zieschang: In the moment, 7.3. So 7.3x our actual WACC defines the maximum level, we are far away. And so far, we don't see any problem for the future. Of course, the EBIT will go up, again, with our strong expected EBITDA recovery. Nevertheless, we don't see any risk to run against the ceiling because induced by the relatively high investment amounts in the context of Terminal 3, the RAB goes up year-by-year because each and every euro we spend for T3 goes into the RAB. Also during the construction phase and construction period so that we will see a good and strong EBITDA increased numbers in the segment aviation and there's no constraint. There will be no constraint on the regulatory side also when we look on -- the WACC went up now to more than 7%. Because the interest -- the risk, what is the name, interest -- risk-free interest rate went up on one side and also the beta factor went up significantly. We came from a beta factor of 0.5%, extremely low in the last couple of years. That's the reason why the WACC was so low. And now the beta factor went up, which we interpret and see as a normal. Of course, first of all, induced by the corona volatility, but it's also a move to a normal beta factor. So that if you assume that the WACC increase will continue -- or let me say, there's a higher probability for increased WACC, the room for EBITDA improvement is given even in 2, 3 years.
Operator: The next question is from the line of Charles Maynadier from Kempen.
Charles Maynadier: Just one question on my side. I'm just wondering if you've seen any interest or if you have maybe been approached by any financial party looking to acquire a stake in some of your international assets? And more generally, as you pointed out before, Matthias, selling at a distressed price would make no sense. So assuming that the price is right, would you consider selling a stake or probably a stake in some of your foreign holdings?
Matthias Zieschang: I think there's nothing new. And as I often mentioned, it doesn't make any sense to sell assets in a situation where a lot of things are distressed. So -- and there is no need to sell anything. And that's the reason why we always said, we -- for these assets, which are not our strategic assets like minorities, St. Petersburg or Xi'an in principle or in general, we are willing to sell if there's an investor offering a lot of money. So this is still given, but on the maturity side, so regarding our assets, which are fully consolidated, we are happy with our assets. You see in the numbers that we see a good EBITDA contribution, that the recovery outside Frankfurt will be faster and stronger than in Frankfurt. This has to do with the passenger mix and the passenger structure. As I mentioned, leisure will recover much faster than business traffic. So I think it would be stupid to make a fire sale and there is no need. We see also what we did on the debt market. So on average, we -- for the new debt, we are going to pay 1.3% versus very cheap money, and we have full access to the debt market. So to make the long story short, there is no need to sell something and it wouldn't make sense.
Operator: [Operator Instructions] There are no further questions at this time. I hand back to Mr. Nanke for closing comments.
Christoph Nanke: Okay. So thank you very much, everybody, for participating in our call. If you have follow-on questions, do not hesitate to contact us in IR, we are happy to answer anytime. I wish you all the best, and hear you latest for our Q3 call. Thank you very much.